Operator: Ladies and gentlemen, welcome to Sienna Senior Living Inc.'s Q1 2021 Conference Call. Today's call is being hosted by Nitin Jain, President and Chief Executive Officer; and Karen Hon, Chief Financial Officer of Sienna Senior Living Inc. Please be aware that certain statements or information discussed today are forward-looking, and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and Risk Factors section in the company's public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the company's results in its MD&A and financial statements for the period, which are posted on SEDAR and can be found on the company's Website, siennaliving.ca. Today's call is being recorded and a replay will be available. Instructions for accessing the call are posted on the company's Website and the details are provided in the company's news release. The company has posted slides, which accompany the hosts' remarks on the company's Website under Events & Presentations. With that, I will turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, Kevin. Good morning, everyone. And thank you for joining us on our first quarters call for 2021. For over a year, we have taken critical steps to fight the pandemic while providing the best quality of care for our seniors. I would like to express my deepest gratitude to all of our team members who have made a remarkable difference where prioritizing the health and wellbeing of our residents and their colleagues. Although COVID-19 continues to have a profound impact here in Canada, the third wave has largely spared our senior living sector. The early vaccinations provided crucial protection for residents and team members. We are incredibly thankful that our sector was made a priority for the vaccination rollout. And I encourage all Canadians who have not yet received vaccine to get it as soon as they can. To date, approximately 95% of our residents and approximately 74% of our team members have received their first dose of the vaccine. We address vaccination hesitancy by ensuring that residents and team members are well informed. We engaged our in-house medical experts Dr. Moser and Dr. McGeer to provide additional information for webinars answer questions about the COVID-19 vaccines. These and other efforts supported the substantial increase in vaccination rates across our long term care and retirement platforms. In the first quarter, the number of residences with COVID-19 cases and the severity of outbreaks have declined substantially and remained low subsequent to Q1. As of yesterday, we have no active COVID-19 cases across any of our residences in British Columbia and 10 residences in Ontario have active COVID-19 cases, with only three active resident cases across our portfolio. This marks a significant improvement and represents a 99% decline since the beginning of 2021. Moving to slide six, the high vaccination rates helped us in returning to a more stable operating environment. While our COVID-19 infrastructure remains strongly in place, and includes active screening on site rapid testing, elevated staffing levels, and a robust supply of personal protective equipment. Certain government mandated restrictions have recently eased as a result of improving conditions. More notably, the Ontario and BC governments have started to lift restrictions with respect to self-isolation, requirements for newly admitted residents. In addition, communal dining and recreation activities and residences with high immunization rates are resuming and physical distancing rules are being relaxed, which is so very important for resident’s health and mental wellbeing. In Ontario, fully immunized frontline staff are able to work in more than one location again to safely support additional staffing capacity across the healthcare sector. In April, we welcome Jennifer Anderson into our leadership team to help Sienna’s long term care operations. Jennifer is a highly experienced operator known for her focused approach to improving customer and team member experience and optimizing operational performance in our previous roles as Chief of Operations and Service Excellence Officer at the WSIB Workplace Safety and Insurance Board. Now moving to our occupancy numbers, our marketing and sales teams have been working on numerous initiatives to support occupancy, including redesign sales incentive programs, enhance outreach and investments in online lead generation. In addition, team members and I enhance call center with longer operating hours made an average of 1500 to over 2000 outbound calls each week to prospective residents and their families. All these efforts resulted in an increase in lease and deposits in Q1 and help support occupancy. Deposits in Q1 have increased by 10% compared to Q1 of 2020 and nearly 20% compared to the previous quarter. In a retirement portfolio, average same property occupancy was 78.1% in Q1. The decrease was primarily related to a decline in new residents moving in due to the impact of a pandemic including access restrictions. Subsequent to Q1, monthly average same property occupancy improved modestly from 77.7% in March to 77.9% in April, reflecting the numerous marketing and sales initiatives offset by the impact of the third wave of COVID-19. Occupancy remains particularly impacted as residences located in COVID-19 hotspots, and we expect continued occupancy pressures until mid-2021. Based on the assumption that restrictions that retirement residences will continue to ease before gradual occupancy improvements during the second half of the year, supported by anticipated pent up demand and our continued investments in a sales and marketing initiatives. In our long-term care portfolio, average occupancy declined to 80.3% in the first quarter from 97.9% in the same period last year, due to access restrictions and capacity limitations in three and four bed ward rooms. Long term care remains an essential need service and the demand for long term care beds continue to grow while a waiting list of over 38000 in Ontario alone. Phase three has put tremendous pressure on hospitals, and we are assisting these health partners through the safe admission of seniors to available beds in our residences. As admissions accelerate, we expect to reach the required occupancy targets over the next few months. The Government of Ontario extended its occupancy protection funding for vacancies until August 31, 2021. Excluding the impact of net pandemic expenses or recoveries we expect the financial performance of the long-term care portfolio in 2021, to be slightly below 2020. Our internal forecasts are based on the impact of new and prolonged access restrictions during the third wave of the pandemic on preferred accommodation revenues, which are not covered by the government's occupancy protection funding, and our additional investments to elevate resident experience. While we expect a continued increase level of expenses in the near future, the positive impact of early vaccinations and seniors living, the increasing vaccination rates among the general population and the return to a more stable operating environment all give us renewed optimism. Moving to slide eight, staffing remain challenging during the first quarter of 2021 as qualified staff is in high demand but sector peers, hospitals and other care providers. As part of our on-going talent acquisition strategy to attract and retain a highly engaged and seasoned team, we continue to collaborate with educational and government institutions and intensify the social media campaigns. We have also increased our focus on team member’s mental health, including managing stress, getting resilience and avoiding burnout. We all we offer a variety of facilitators and self-paced programs in addition to providing resource materials, and access to Employee Assistance Programs. Our team members have gone to extraordinary lengths during the pandemic, and many have made enormous sacrifices for prioritizing the health and wellbeing of residents and their colleagues. For some of them, this meant moving out of their family homes and into temporary accommodations for extended periods to keep residents safe sacrificing time with their families, often at the cost of their own mental, physical and emotional health. Our team members are true heroes whose selfless actions had a tremendous impact on our residents lives during the pandemic. Last year, we helped launch a clear response, which provides one time financial grants to eligible employees of long term care and retirement operators in Canada were facing extraordinary circumstances amid the COVID-19 crisis. Since May of last year, the fund held approximately 800 frontline staff with over 2.4 million in emergency financial assistance. We continue to support -- to continue our support for this important initiative. Sienna has made an additional 100,000 contributions to the CaRE Fund this week, which brings Sienna’s corporate and board of directors contribution to approximately 700,000. Moving to our focus on diversity and inclusion, attracting and retaining a talented and diverse team at all levels of organization remains a key objective. Diversity & Inclusion have always been an always been an important part of Sienna and our diverse leadership team is a reflection of our overall workforce. Today, 54% of our leadership team, including 5 of our 10 executive officers, and 1/3 of my independent board members are female. In addition, approximately 30% of our leadership team, including 3 of our 10 executive officers identify as black, indigenous or people of color. We are very grateful for their continued government support that helps us cover some of the extraordinary pandemic expenses, with the exception of funding related to accommodation, or government funding is flow through funding, which means it has to be spent entirely on resident care. Any amounts that are not spent directly on resident care or pandemic expenses have to be returned to the government. We believe that government assistance programs will help address systematic issues our sector has been facing for many years. These issues were highlighted in two recently published reports. In April, Ontario's Auditor General issued a report, which included findings on pandemic readiness and response and long term care. This report was followed by a final report of Ontario’s Long Term Care COVID-19 Commission, an independent commission investigating the endemic and Ontario's long term care system. We were able to share our experience and observations during the pandemic where the commission was recommendation to the government to the Ontario government are expected to help shape and strengthen the future of long term care. Recommendations include the need for additional staffing, enhanced IPAC training continued prioritization of personal protective equipment, stronger medical leadership, enhanced collaboration with healthcare partners, and the urgent need to redevelop and expand homes to meet a growing societal need. Now, Ontario government has already started to implement a number of the recommended improvements, including additional staffing. And at Sienna, we have also taken numerous steps recommended by the Commission, including stronger medical leadership, increased focus on family communication, and enhanced IPAC training. As a mission driven company that puts the wellbeing and safety of our resident first, we have well positioned and equipped to support the future of senior living. Now moving to a development program, our development plans include over $600 million in capital investment to redevelop our Ontario Long Term Care portfolio over the next five to seven years. Two projects are slated to start later this year, beginning with 160 beds long term care home in North Bay, which will be replacing the existing 148 older C Class beds. The capital investment for this development is expected to be approximately 52 million to 55 million, with an expected development yield of approximately 8%. Our second project will be announced shortly. We are also making good progress on our joint venture development project of a new retirement residence in Niagara Falls, with construction scheduled to start later this quarter. Sienna has a 70% ownership in this 150-suite greenfield joint venture development with Joint Venture Development with Reichmann Senior Housing, which is expected to achieve a development yield of approximately 7.5%. The total budgeted development costs for this project is approximately $49 million to $51 million. Our development and redevelopment plans will focus on sustainability as we adopt environmental friendly designs and install energy efficient features and equipment, all with the goal to significantly reduce the environmental footprint of these homes. In addition, these new residences will support our enhanced infection prevention and control measures and will significantly improve resident and team member experience. With that, I'll turn the call over to Karen for our financial update.
Karen Hon: Thank you, Nitin. And good morning everyone. I will start on slide 14. Our Q1 2021 financial results continue to be impacted by the pandemic as we continue to incur an increased level of expenses to support the cost of fighting the pandemic and minimizing the impact of outbreaks. There are various programs and financial assistance provided by the government to support pandemic related expenses. It is important to note that there can be timing differences between the time of incurring these expenses and the funding of such expenses. In addition, any amounts that are not spent directly on resident care or pandemic expenses have to be returned to the government. In Q1 2021, we recorded a $9.9 million recovery of pandemic expenses. This was mainly due to the retro access government funding of $15.3 million to recover some of our 2020 pandemic expenses incurred in excess of available funding in long term care, which is reflected in our first quarter's results. Excluding this retroactive funding, the company's total net pandemic expenses for Q1 would have been $5.4 million, representing an improvement of $2.3 million compared to last quarter. Moving to our Q1 financial results on slide 15, our revenue decreased by 2.7% year-over-year to $161.2 million this quarter. Consolidated net operating income increased to $44.3 million this quarter compared to last year. This was largely the result of the $15.3 million in retroactive funding I mentioned earlier, which led to a net pandemic recovery in the quarter. Excluding this net pandemic recovery, our consolidated NOI decreased by 9.2% to $33.2 million this quarter. Retirement same property NOI decreased by $3 million to $12.8 million in Q1 compared to last year. Excluding net pandemic expenses, retirement same property NOI for Q1 decreased by $2.3 million, mainly due to lower occupancy partially offset by annual rental rate increases in line with market conditions. Rent collection levels remain high at approximately 99% consistent with pre-pandemic level. Long-Term Care same property NOI increased by $10.7 million year-over-year. Excluding the net recovery of pandemic expenses, Long-Term Care’s NOI for Q1 decreased by $1.1 million to $19.5 million compared to last year, largely as a result of lower revenues from preferred accommodation. Moving to slide 16, Q1 OFFO per share was $0.378 an increase of $1.03 compared to the prior year. Excluding net pandemic recovery, OFFO per share for the quarter would have decreased to 26.9% year-over-year, and Q1 AFFO per share was $0.394, an increase of $1.02 cents compared to the prior year. Excluding net pandemic recovery, AFFO per share for the quarter would have decreased to $0.292 year-over-year. The Sienna’s AFFO payout ratio was 59% in the first quarter, excluding the net pandemic recovery, the payout ratio would have been 80%. Looking at our debt metrics in slide 17, our debt to gross book value decreased by 90 basis points to 46% year-over-year, mainly as a result of the repayment of credit facilities. We lowered our weighted average cost of debt by 30 basis points to 3.3% year-over-year, primarily due to increasing our mix of floating rates debt and we increase coverage ratio for interest to 4.7 times. Excluding the next pandemic recovery this quarter, interest coverage ratio would have been 3.5 times. Debt-to-adjusted EBITDA was 6.2 years in Q1 2021 excluding the net pandemic recovery, debt-to-adjusted EBITDA would have been 8.4 years. In terms of our balance sheet, Sienna continues to maintain a strong financial position and an investment grade credit rating and ended the first quarter with $213 million in liquidity and an unencumbered assets pool of $840 million. Our debt is well distributed between unsecured debentures, conventional mortgages, CMHC insured mortgages and credit facilities. As mentioned, we expect an increased level of expense for some time, which will continue to affect some of Sienna's key performance indicators, in particular with respect to the company's operating performance. With that, I will turn the call back to Nitin for his closing remarks.
Nitin Jain: Thank you, Karen. Looking ahead, we have renewed optimism for our sector and our company. The anticipated economic recovery, the positive impact of early vaccinations and senior living and the return to a more stable operating environment all support the outlook for Sienna. We currently take many actions to address the rising complexities of care, staffing shortages and capital needs in the sector, all of which were heightened by the pandemic. In April, we formed the Sienna for Seniors Foundation, the foundation allows us to raise funds for a variety of important causes in both Ontario and British Columbia. In connection with enhanced focus on mental health and wellness in the communities we serve, Sienna donated 250,000 to the Scarborough Health Network, in support of its new mental health hub which will support quality care for seniors. Through our work with the countless fellow organizations who provide amazing programs and services in support of Canadian seniors. By launching the Sienna for Seniors Foundation, we do our best in helping those who need it the most. In everything we do, we are guided by the belief that it is both a great privilege and a tremendous responsibility to serve Canada's seniors to ensure that they live with utmost dignity and respect. I'm incredibly grateful for our team's unwavering commitment and compassion to fulfill this important mission. During my visits to more than 30 residences, during the pandemic, I've experienced first-hand the desire to do everything they can to provide the highest level of care and services to our residents. I also want to acknowledge the many stakeholders who have supported us through the pandemic, including our residents, their families, sector associations, hospital partners, federal and provincial governments and our shareholders. Thank you for your participation on the call today. We are pleased now to answer any questions that you may have.
Operator: [Operator Instructions] Our first question comes from Jonathan Kelcher with TD Securities.
Jonathan Kelcher: Thanks. Good morning.
Karen Hon: Morning, Jon.
Jonathan Kelcher: First, first question just on the occupancy in the retirement portfolio. You talked about getting more leads and stuff like that. So based on what you're seeing right now, do you think March will mark the low for occupancy?
Nitin Jain: I think it's hard to predict. Hi, good morning, Jonathan, it's hard to predict that we disclose our April occupancies is up by 20 basis points. And I receive positive momentum on leads and deposits. I think it's just too early to predict just depends on what happens with the province in both Ontario and BC in terms of opening it up and removing some of the restrictions for access. So it's too early to predict.
Jonathan Kelcher: Okay. Fair enough. And then I guess, on the development front, you do have the one retirement development going on. Do you see more opportunities on the retirement side? Or do you think you guys will be focused on getting your long term care facilities the ones that need to be anyways redeveloped?
Nitin Jain: So Sienna, we are deeply committed to both sides of our businesses with long term Canada retirement. So, we have two projects at the moment, as you mentioned, one, a long term care, one retirement. We are looking at some intensification, opportunities, depending on timing. We also continue to look at some campus development at few of our sites where we are building new long term care, we would add either senior apartments or retirement suites there. And again, we will announce those programs as you get a bit further ahead. But no view it would not just be long term care, you should see some development from retirement as well, which would include a combination of joint ventures, intensification, greenfield and campus.
Jonathan Kelcher: Okay, thanks. So I'll turn it back.
Operator: Our next question comes from Himanshu Gupta with Scotiabank.
Himanshu Gupta: Thank you and good morning. So just from the long term care, occupancy protection, that was extended until the end of August. So do you expect any further extension here? I mean, I'm looking at your LTC occupancy is at 80%. So how long do you think it would take to get back to 97% or so?
Karen Hon: Good morning Himanshu. So with respect to the occupancy protection funding, as I mentioned, has been extended to August 31. And we are seeing gradual admissions from new placements as well as hospital transfers because that support is very important in our healthcare system. And so we are seeing gradually and we expect that we will be reaching the occupancy target in the coming months. And so with that, we also see encouraging signs that our vaccination rate has been very high and therefore limiting outbreaks, which is another factor that we'll help out with accelerating admission.
Himanshu Gupta: Okay. And then staying on the LTC funding, obviously 15 million received with respect to 2020 expenses. So do you expect further recovery here with respect to last year because I think there is still some shortfall left to be recovered?
Karen Hon: For the $15.3 million that is based on the ministries review as of December 31. So, no, we don't expect that there would be much more coming related to last year. We do have the excess expenses on our BC side as the funding programs are different. And with respect to this year in Q1, we continue to get monthly pandemic related funding. But as we saw, if we exclude the retroactive government funding of $15 million, we did continue to incur expenses higher than our monthly pandemic funding availability. And for us, that's really the focus is to continue to keep our residents and team members safe. And what ensures with our high vaccination rates, and our COVID cases dramatically come down. So has our pandemic expenses, quarter-over-quarter. And so at this point, it's hard to predict the duration and scope of our of the pandemic and therefore the scope and severity of the pandemic expenses. But we know we really want to thank you, our team members and residents and their families who have really supported our vaccination efforts, and therefore are keeping our residences safe.
Himanshu Gupta: Okay. Got it, okay thank you. And then just turning to the Niagara Falls, retirement residents development. I think the development yield is 7.5. What occupancy are you underwriting that assumption? And how much is the lease of period you are assuming?
Nitin Jain: So, you know, the lease period is falling around two and a half years and the stabilized occupancy is between 90% to 95%.
Himanshu Gupta: Okay and the development yield includes the cost of land as well?
Nitin Jain: That's correct.
Himanshu Gupta: Okay. Okay. I’ll turn it back.
Operator: Our next question comes from Brendon Abrams of Canaccord Genuity.
Brendon Abrams: Hi, good morning, maybe just circling back on the long term care redevelopment program, obviously, it's a big spend over the next five to seven years. Just wondering if internally you've said any kind of leverage targets, whether it's debt-to-EBITDA or debt-to-asset that you'd be comfortable to, to go up to? And then maybe just a second question on this point, would you be willing to explore entertain, joint venture or kind of financial partner partners to help fund the program?
Nitin Jain: Good morning, Brendon, on the first one, we've always talked about our debt-to-book value will be comfortable in the range of 48% to 52%. And the redevelopment program maybe will be closer to 52. But again, as a reminder is to book value. And many of our assets have been on the books since 2010, when Sienna first went public. So, from a fair market perspective it easily would be in the 40s. And even at the 52% level that we talked about book value will still be in the 40. So we think it's a pretty conservative way of getting development done and having assets which will have a long period of licensing. From a joint venture, we are always open to finding the right partners. And for us to just not capital, we continue to have good access to capital. What we're really looking for is what's the right partnership model, which is the right thing for the community for team members, for residents. As we have talked in the past, we are exploring our joint venture with Scarborough Health Network, which would be the right thing to do for Scarborough. So as we progress, those are the partnership we are more interested in rather than just financial ones.
Brendon Abrams: Right. Okay, that makes sense. And then maybe just on the return profile of some of these projects, that is obviously a lot of talk around inflation and cost inflation and commodity prices have increased recently. How do you -- correct me if I'm wrong, but I don't think the funding of the new developments is maybe tied to increases in CBI and that type of thing. So, how do you -- how do you see that impacting maybe the return profile at some of these projects over the next few years?
Nitin Jain: So, there's, this is the first development program after many years which, which works for some projects is not going to work for all. And that again, we are thankful for the government to make it happen because in the last six years, only 500 beds were redeveloped but that it was private, not for profit municipal because of funding programs has been working for anyone. So, it's hard to predict where we are headed. We go project by project. And that's why we are cautious and not coming ahead and talking about projects that which are in the pipeline, when we get to a stage where we can lock in some costs, gets get a bit more confirmation from a pricing perspective from our, from our general contractors and vendors in general. That's when we'll come up and talk about development deals. And if costs continue to rise, and the funding doesn't work, then, we will, we'll have to take a pause. But we understand that the government is active in redevelopment, there's a lot to be done close to 45,000 beds between what's new and what's current. So I think it's in everyone's best interest to get going. So it's hard to predict what will happen with inflation, and whether the funding would keep up or not. But we are working with information that we have at the moment.
Brendon Abrams: Yes, no, fair enough. And then maybe just turning to the commission's report, which you touched on in your opening remarks, pretty lengthy report. Was there, from your perspective, one or two, recommendations that really stood out, did you think would have kind of a more near term impact on Sienna? And how that might impact your operating margins going forward?
Nitin Jain: Sure, the commission came up with total 85 recommendations. And, as you know, the government and all the stakeholders would have to kind of prioritize the top ones. In our mind, the really the top one is staffing. We have talked about it for quite some time, the staffing levels were based on, 20 years back, or so when people coming into long term care have a very different health requirements. And that has not changed substantially. So, if you do only one thing out of all the ones that have come up with a staffing, which we are pleased to see that the government has, is already moving to four hours of care, which will be an excellent result. I think that'll be the first part of the funding for it. The second part is really going to be how you stop. Because if you get four hours of care, and you get additional funding for it, but you can't hire anyone, you would be giving that money back to the government. And that's not in the best interest of the residents. So we need our whole human capital strategy, which is, how do we entice people coming into this sector? How the staffing works with, is related to integration? So I think, if we can solve that out of all the things that came out, I think it will be probably have the biggest impact on the lives of our seniors.
Brendon Abrams: Right. Okay, that's helpful. I'll turn it over. Thank you.
Nitin Jain: Thank you.
Operator: Next question comes from Joanne Chen with BMO Capital.
Joanne Chen: Good morning. Just maybe speaking to the unfunded expenses during this Q1, it was like, of course, you got turned down. Can we expect that to continue into Q2 as well? And obviously through the back half of the year and what that restrictions ease?
Karen Hon: Hi, Joanne, are you referring to the decline in net pandemic expenses?
Joanne Chen: Yes, as a fact $24 million this quarter, down from the $7.7 you said in Q4?
Karen Hon: So no, the main difference in Q4 versus Q1 is attributed to the high vaccination rate. We're very pleased with the high vaccination rate of 95% amongst our residents and 74% amongst our team members, and that really has been a game changer, and a turning point in experience that our residents, and because of that, we have fewer residences, with COVID cases, and much fewer resident cases, as well as the severity of the cases has been much lessened. And so we've always talked about the magnitude of our pandemic expenses does largely depend on how many residences have COVID, as well as the severity of those outbreaks. And because we've had good outcomes with the vaccination, we were able to, in correlation, been able to maintain a more stable level of pandemic expenses. But I would just say that, no, we're still very much in the third wave. And so it is still hard to predict what would be that level of pandemic expenses, which is directly tied to a number of COVID cases, as the general population is still being vaccinated. So at this point, it's hard to say what would next quarters pandemic expenses would be. But we do continue to get monthly pandemic funding from the government in support of that.
Joanne Chen: I get that. That's still helfpful. Maybe just referring back to the previous question with respect to now achieving that on a long-term care side, the occupancy essentially the target of 97%. Do you think that's something that could be achieved in 2021 timeframe, assuming that, things really do open up backup in the second half of the year.
Nitin Jain: So we have the impact given the pandemic, depending on which location you're at, we have been accepting residents to long term care throughout this time. The pace is obviously much more lower than what would be otherwise, when we talk about 97%. It would not include the three and four bedrooms. And our healthcare sector is an acute challenging place. And once COVID is over, there's, there's a backup of multiple surgeries which have to happen. So I think it's in the best interest of not only healthcare, but for everyone in general that we find capacity in long term care when it is safe to do so. So, for us it is to try to get to 97%, because there is a long waiting list. And for seniors, being in a hospital long term is not the best scenario because that's not a home like atmosphere, as long as a long term care home or retirement home is. But you have to do it safely. So again, I think at this stage we can we continue to work with the healthcare partners, as you might know that admission to long-term care is not owned by any operator, it's really owned by the community access centers across. So that's, that's we are working closely with them. We want to support family support healthcare partners and want to be and see if we can get to that number.
Joanne Chen: Okay, I got it, and just…go ahead.
Karen Hon: Sorry, Joanne. Just to add to that, no, the third and fourth that remain unavailable. Because we find that, no that has been a big challenge during the pandemic management. And also we've set aside a certain bed for self isolation. And so those beds are part of continues to be unavailable. And those beds are not included in that 97% occupancy target. And so that's directive to keep those – will remain.
Joanne Chen: Okay, got it. And maybe just one last one for me on the development side for the Class C beds, but could you just remind me again, the percentage of beds, that would be Class C that would fit into that criteria for you guys.
Nitin Jain: So you think how many do we have? Is that what's your question?
Joanne Chen: Yeah, yes.
Nitin Jain: We have 2200 Class C beds.
Joanne Chen: Okay. Okay, no, that's okay. All right. I will turn it back. Thanks very much.
Nitin Jain: Thank you.
Operator: Our next question comes from Yash Sankpal with Laurentian Bank
Yash Sankpal: Good morning.
Nitin Jain: Hi, good morning.
Yash Sankpal: Just a quick question. I'm trying to understand why your long-term care occupancy continues to go down sequentially given you know, the kind of demand that is there. And it isn't necessarily based service. So what is driving your occupancy down? Like are you not getting enough patients or residents from the system or you're not taking new residents.
Nitin Jain: As I talked about the admissions into long term care is not really controlled by any operator or owner is really controlled. So the biggest thing has been if a home is an outbreak, as we just talked about, many of long term care homes had an outbreak. So that is not a safe time to be moving residents. And this is a comp time and even though the number of resident cases are low, we still have team member cases. So it's more driven by when is it safe to do so that's really what is what driving the change. In Sienna’s case, because of our of our site, they have been locations, which are not an outbreak or which are not in in areas where there are restrictions. So we have been admitting into long term care homes there. So it's more a factor when Ontario health and others think it's safe to do so and in consultation with us. It’s more to do with that then than anything that an operator owner would do.
Yash Sankpal: So even if a staff member is positive, they will not send residents to that home?
Nitin Jain: Yes, that's, again, some public house might be different. But overall, that continues to be the case. That if, if you have more than two people who they feel got COVID from a particular location, that would be an outbreak and you there would be no one. No one new resident coming into that home. So that that's the case.
Yash Sankpal: Right. Okay. And then I saw that your resident vaccination is quite high, like almost about 90%. But the staff vaccination levels are still in the 70s. So is there a choice? Do the members have a choice in terms of getting vaccinated or not?
Nitin Jain: That's correct. So in, as a country, we have made the decision that it's a choice, it's not mandatory, to get vaccination. We have around 75%, which we believe is, is really a result of all the work we have been doing in terms of encouraging and education. We -- similar our hopes is and our work is to make it as high as possible. But that as that is one of the one of the only ways for it to ever go away. So the rate has been close to 70%. We have been inching forward a percent and a half every week. And we are looking internally and talking to other healthcare partners in general to see what else can we do to drive that rate much, much higher?
Yash Sankpal: And is that? I don't know, is it related to the fact that you're not getting enough? Like there is no staff availability, that you are still allowing people who are not willing to get vaccinated to, continue working there?
Nitin Jain: Yes. So in countries with, in many other countries, which had access to vaccination much sooner than Canada. 70% is a pretty good place, because there is vaccination hesitancy across the general population. So it's more it's not around. Obviously, staffing is a challenge. But that is that's been across the sector. So it's not that, no one wants to make it mandatory, because you'll have staffing issues. The government in Canada decided it is not going to be mandatory. So it's hard for individual companies such as us to, to take a stance, but again, we are looking at other ways to provide incentive and to encourage team members to get vaccination or to be vaccinated.
Yash Sankpal: That's it for me. Thank you.
Nitin Jain: Thank you.
Operator: Our next question comes from Tal Woolley with National Bank
Tal Woolley: Hi, good morning. Karen, how are you doing?
Karen Hon: Good. Morning, Tal.
Tal Woolley: I just wanted, I apologize if I had multiple conference calls. Just number one, has there been any net funding received or expected in for Q2 in terms of reimbursement of prior academic expenses?
Karen Hon: So our pandemic funding, we still continue to get our monthly allocations. And based on that our pandemic expenses are continuing to exceed that monthly funding. However, no, we are continuing to report quarterly our pandemic expenses to the government. And based on that information, they will determine if the funding needs to be adjusted, as we saw for last year, that was the reason for the outcome for our quarterly expense reporting that they had supported us with the extra 15.3 million of retroactive funding related to 2020 endemic expenses.
Tal Woolley: So if I'm, if I'm understanding you correctly, if that you're still running sort of in a net deficit position now, and then the hope is over time, that that could be reconciled with the government. So nothing has been yet you haven't had any sort of outside reimbursements or anything to date in Q2?
Karen Hon: That’s right.
Nitin Jain: Yes, I mean, our approach Tal has been that we need to spend what we need to spend to keep residents and key members safe. And, government has been very supportive for the process for all owners operators to cover those expenses, and we know that at the end of the day, you might have a deficit in the short term, but we are okay with that, because we know that's the right thing to do.
Tal Woolley: Okay. And then I think you mentioned earlier, I think was a question Jonathan had asked that you were not sure exactly whether March was sort of the bottom of the retirement occupancy, cycle, but you are in your outlook statement, sort of indicating a recovery in the second half, I guess what gives me the confidence that, you expect the churn to get [Indiscernible]
Nitin Jain: I mean a number of leaves, I mean, that usually is a very good indicator. So, a number of leaves are up versus last year, they're up versus last quarter. We see some good things from a deposit perspective. So some of the indicators that we have internally received, we applied health law, the easing of restrictions, whether people are fully vaccinated. Now, the amount of isolation they have to do is changing, because that has been a barrier for many seniors moving into retirement space. So there are multiple of things, not one, which gives us hope that, our occupancy will come up. It’s just hard to give specific guidance at the moment. And our view is that it will be the second half of the year where we can, we will see some positive movement and occupancy.
Tal Woolley: Okay. And then just pivoting back to the commission report, again, so with the report out, and, the ministers subsequent comments that seems supportive of a different proposed development model going forward, like, are you hearing any commentary from the government about how they are looking at re-bedding, new developments that are currently in the pipeline?
Nitin Jain: Sure. So, there's close to 30,000 beds which have to be rebuilt, and another 15,000, which, which needs to be built just to keep up with current demand. And that number of just building the first step. I think there'll be more beds needed overtime. So frankly, there's a bit of a need for all sorts of different warrants [ph] and ownership structures to make this possible for seniors. For example, last year, there were multiple announcements where government is investing directly with hospitals and building long-term care beds. There have been announcements from companies such as us, which are building long term care beds, the ones, for example, we announced in North Bay there, by municipalities and others. So in our, in our view, it will take all short all sorts of ownership model to solve this, solve this challenge. And at the end of the day, it's really around ensuring that the people who are providing care, they care for seniors and their fellow team members, that's our culture. We're after accountability and operational excellence. So for us, we think that's more important than a than ownership structure or any capital structure behind.
Tal Woolley: And is it fair to say, though, that like if they did decide to move in a direction, and let's hope that that doesn't really take disrupt anything that's sort of in the hopper, so to speak. Is Sienna open to doing some of the redevelopment under this kind of model?
Nitin Jain: We'll always open to different kinds of things, but it's hard to really comment on that without knowing what the structure would look like. So for us, we, we have been in the senior living work for 50 years, and we are going to continue to do this work. So there are different ways of doing it, we would be we would be open to it. But again, it's, as the commission has also talked about, pretty upfront about it, that it's not about ownership, it's about what the what is at the core of the company, are you mission driven? Are you after the care of for seniors? And that has really been our mission. So it's not, in our view, it's part of our ownership. It's about really, what do what do you stand for?
Tal Woolley: Okay. And then, my last question, this sort of goes back to the pre-pandemic, the government had proposed sort of a big restructuring of the local health integration networks to be Ontario health teams approach. And I'm just wondering, like, has that all been completed? And are there any changes that really become dependent? I think that was on-going, just as the pandemic started, and I don't, I don't really know how that structure, changed or handled, handled the whole handle the whole situation.
Nitin Jain: Yes, it's been, it's been ongoing, they've been very active throughout this pandemic, working with hospital, working with long term care sector to make it possible. They've been working through different structure and they've combined what used to be called CCAPN kind of home services as well. So I think they're well on their way to kind of put the right structure together to support. We have had trouble with them as we're trying to work collaboratively with the hospitals and others to ease the pressure on the hospital system. So no, I think it's well on its way, from our viewpoint.
Tal Woolley: No big changes, then in terms of like, how everything, you know, how, how the new ones are helping kind of work with the long term care network hasn't really affected anything.
Nitin Jain: No, nothing. And in our view will be positive. Because, if long term care is on the table and decision gets made, I think there'll be better decisions for everyone, including long term care. So we think that's a, that's a good change.
Tal Woolley: Okay, that's great. Thanks. And…
Nitin Jain: Thank you.
Operator: Our next question comes from Pammi Bir with RBC Capital Markets.
Pammi Bir: Thanks, and good morning. Just maybe along the same lines of the question around the commission's report. I'm just curious, have you actually had any conversations about your specific projects? And perhaps under this suggested model of separating care from construction? Have there been any conversations with the, with the government? And then just secondly, has there been any further clarity and what exactly is meant by mission driven?
Nitin Jain: So Pam, so I don't have an answer for the second one. Again, I think the commission had 85 recommendations, and they're the ones which are a lot more, whatever much bigger impact than just focus on the structure of it. And starting being the very first one. We are -- we have developed an agreement that we're signing currently not to be one of them, which was, which was recent. Many other owners and operators of all different kinds they are signing development agreements under the current structure. So, in our view, its stability is important. We just one project, as we talk about North Bay is going to be on $55 million of cost. And over many years, it will be close to more than a half a billion dollars. So the more stability the better. In our view, the amount of demand there is for long term care, there could be different structures possible to get to that stage. So, if there's a different structure with work for few people like a P3, that's okay, by us. From our perspective, we are committed to the way we are developing today and how we provide care. So it's really hard for us to comment on what might happen in the future. But our current development agreements and our current development plans are predicated on the credit structure.
Pammi Bir: Got it? Just maybe one last one for me, and not sure if this was maybe clarified earlier. But just with the 15.3 million in retroactive funding that was received in the quarter, just curious, what's the difference between that amount in the 11 million that you cite, as your Q1 adjustment for retroactive funding in your FFO calculation?
Karen Hon: So hi, Pammi. I think that might be a after tax difference between the 15 and the 11 million, you're referring to that?
Pammi Bir: Okay, I thought the after tax, and then with 7 million, relative to the 11 million.
Karen Hon: So I think it's not exactly sure which number you are referring to, but on a consolidated basis, our net recovery was 9.9 million. So if we take that number and apply the 26.57% which is allocated to the 7 million recovery adjustments that we would have.
Pammi Bir: Okay, maybe we'll follow up offline on that one. But that's it. That's it for me. Thanks very much.
Nitin Jain: Thank you.
Operator: And I'm not showing any further questions at this time. I’d like to turn the call back over to Nitin.
Nitin Jain: Thank you, Kevin. Thank you everyone, for joining the call today. And on behalf of the entire Sienna team I want to thank all of you for your continued support.
Karen Hon: Thank you very much.
Operator: Ladies and gentlemen, this concludes today's presentation. You may now disconnect and have a wonderful day.